Operator: Thank you for standing by. My name is Tina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Suburban Propane Partners, L.P. Financial Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. To withdraw your question, press 1. It is now my pleasure to turn the call over to Davin D'Ambrosio, Vice President and Treasurer. You may begin.
Davin D'Ambrosio: Great. Thank you, Tina. This is Davin D'Ambrosio, Vice President and Treasurer, and good morning, everyone. Thank you for joining us this morning for our fiscal 2026 first quarter earnings conference call. I am here with Michael A. Stivala, our President and Chief Executive Officer, Michael A. Kuglin, Chief Financial Officer, and Alex Centeno, Senior Vice President of Operations. This morning, we will review our first quarter financial results along with our current outlook for the business. Once we have concluded our prepared remarks, we will open the session to questions. Our conference call contains forward-looking statements within the meaning of 21E of the Securities Exchange Act of 1934, as amended, relating to the partnership's future business expectations and predictions and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. We have listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in our earnings press release, which can be viewed on our website at suburbanpropane.com. All subsequent written oral forward-looking statements attributable to the partnership or persons acting on behalf of the partnership are expressly qualified in their entirety by such cautionary statements. Our annual report on Form 10-Ks for the fiscal year ended September 27, 2025, and Form 10-Q for the period ended December 27, 2025, which will be filed by the end of business today, contain additional disclosures regarding forward-looking statements and risk factors. Copies may be obtained by contacting the partnership with the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful, in our Form 8-K, which was furnished to the SEC this morning. The Form 8-Ks will be available through a link in the Investor Relations section of our website. At this point, I will turn the call over to Michael A. Stivala for some opening remarks. Mike?
Michael A. Stivala: Thanks, Davin, and good morning. I apologize for the confusion from the operator. You are listening to the Suburban Propane Partners, L.P. first quarter earnings conference call. So thanks for joining us today. The fiscal 2026 heating season is off to a great start with a surge of colder weather in our Northeast, Mid-Atlantic, and Midwest operating territories during November, and more importantly, December 2025, that drove heat-related demand which more than offset warmer average temperatures in the West and incremental volumes in the prior year first quarter resulting from Hurricanes Saline and Milton. Our operating personnel have already endured some significant challenges with harsh weather conditions that have persisted into the fiscal second quarter. I am extremely proud of the hard work and dedication of our local teams for their preparation and commitment to the safety and comfort of our customers and local communities. The boost in heat-related demand along with continued positive trends from our customer base growth and retention initiatives enabled us to deliver an increase of more than 4% in volumes sold compared to the prior year first quarter and an increase of $8.1 million or nearly 11% in adjusted EBITDA for the quarter. In our renewable natural gas operations, average daily RNG injection in the first quarter increased both sequentially and year over year, driven by the operational enhancements implemented at our Stanfield, Arizona facility, which are resulting in both improved uptime at the facility and increased conversion of feedstock to RNG injection. We also started the commissioning process for our newly constructed anaerobic digester facility in Upstate New York during December 2025, and made substantial progress on the construction of the gas upgrade equipment at our existing anaerobic digester facility in Columbus, Ohio. The RNG capital projects are on track for completion toward the end of the second fiscal quarter, with RNG injections scheduled to begin in the second half of the fiscal year. With a great start to the fiscal year, we remain focused on delivering outstanding performance while also advancing our long-term strategic growth plans with the previously announced acquisition of two well-run propane businesses in California, investing $24 million, progressing our capital projects to grow RNG production, investing nearly $7 billion in growth CapEx in the quarter, and strategically refinancing our 2027 senior notes at an attractive rate and a ten-year maturity. Therefore, we continue to focus on disciplined investment in growth while maintaining balance sheet strength and flexibility. In a moment, I will come back for some closing remarks. However, at this point, I will turn the call over to Michael A. Kuglin to discuss the first quarter results in more detail. Mike?
Michael A. Kuglin: Thanks, Mike, and good morning, everyone. To be consistent with previous reporting, as I discuss our first quarter results, I am excluding the impact of unrealized mark-to-market adjustments on our commodity hedges, which resulted in an unrealized gain of $930,000 in the first quarter compared to an unrealized gain of $3.6 million in the prior year first quarter. Excluding these and certain other noncash items, we have identified a reconciliation of net income to adjusted EBITDA in the press release. Net income for the first quarter was $46.6 million or $0.70 per common unit compared to net income of $38 million or $0.59 per common unit in the prior year. Adjusted EBITDA for the first quarter was $83.4 million, an increase of $8.1 million or 10.8% compared to the prior year. Retail propane gallons sold totaled 110.2 million gallons for the first quarter, an increase of 4.2% compared to the prior year. The increase was driven by colder temperatures across much of the Eastern Half of the US, which boosted heat-related demand as well as positive contributions from organic customer base growth and our recent propane acquisitions. These factors more than offset the impact of the considerably warmer temperatures in the Western half of the country and incremental volumes in the prior year first quarter in the aftermath of Hurricane Salim and Milton in the Southeast. With respect to the weather, average temperatures during the first quarter were 6% warmer than normal and 6% colder than the prior year first quarter. In the Eastern half of the US, average temperatures were in line with normal and 12% cooler than the prior year first quarter, whereas average temperatures in the West were 24% warmer than normal and 11% warmer than the prior year first quarter. From a commodity perspective, average wholesale propane prices for the first quarter were $0.66 per gallon, based on Mont Belvieu, representing a 14% decrease compared to the prior year first quarter. According to the most recent report from the Energy Information Administration, US propane inventories totaled 89 million barrels at the end of last week, which was 34% higher than a year ago and 28% above historical averages for this time of year. While domestic demand from the recent blast of cold weather in the East could impact inventories, wholesale propane prices remain in the $0.60 per gallon range compared to the $0.90 per gallon range a year ago. Excluding the impact of the mark-to-market adjustments on our commodity hedges, our gross margin for the first quarter was $238.6 million, an increase of $16.1 million or 7.2% compared to the prior year. Improvement was driven by higher propane volumes sold, coupled with an increase in propane unit margins of $0.08 per gallon or 4% and to a lesser extent, contribution from our RNG operations due to increased RNG injection. With respect to expenses, combined operating and G&A expenses increased $5 million or 3.4% compared to the prior year first quarter. The increase was primarily due to higher payroll and benefit-related costs, overtime, and other variable operating costs to support the increased activities associated with the incremental customer demand and higher variable compensation expense associated with the increase in earnings. Net interest expense of $19.8 million for the quarter was flat compared to the prior year as the impact of higher average outstanding borrowings under our revolving credit facility was offset by lower benchmark interest rates on those borrowings. Total capital spending for the quarter was $19.8 million, of which $13 million was in support of our propane operations and $6.8 million for our RNG growth projects. Full-year capital spending estimate for the RNG project remains unchanged at $30 million to $35 million, with spending concentrated in the first and second quarters. Turning to our balance sheet, given the seasonal nature of our business, we typically borrow under our revolving credit facility during the first quarter to fund a portion of our seasonal working capital needs. With that said, during the first quarter, we borrowed $115.4 million under our revolver and used net proceeds of $3.1 million from the issuance of common units under our ATM equity program to fund our seasonal working capital needs, growth capital expenditures for the RNG projects, along with the costs associated with refinancing of our senior notes and the two propane acquisitions that Mike mentioned earlier. Our consolidated leverage ratio for the trailing twelve-month period ended December 2025 improved to 4.57 times compared to 4.99 times for the trailing twelve-month period ended December 2024. Our working capital needs typically peak towards the end of the heating season, late February or early March timeframe, after which we expect to generate excess cash flows. We will continue to remain focused on utilizing excess cash flows to strengthen the balance sheet as opportunities arise to fund strategic growth. We have more than ample borrowing capacity under our revolver to fund our remaining working capital needs for the heating season, as well as to support our growth capital and ongoing strategic growth initiatives. With that, I will turn it back to Mike.
Michael A. Stivala: Thanks, Mike. As announced on January 22, our Board of Supervisors declared our quarterly distribution of $0.0325 per common unit in respect of our 2026. That equates to an annualized rate of $1.30 per common unit. Our quarterly distribution will be paid on February 10 to our unitholders of record as of February 3. Our distribution coverage continues to remain strong at 2.19 times for the trailing twelve-month period ended December 2025. So just a few final thoughts. As colder weather and extreme storms have swept across much of the eastern half of the country in recent weeks, our operations personnel are well prepared and working tirelessly to safely meet customer demand. The foundation of our ongoing success continues to be rooted in our more than 3,200 dedicated employees at Suburban Propane Partners, L.P. Their unwavering focus on the safety and comfort of our customers and the communities we serve and the commitment to delivering outstanding customer service truly sets us apart. I want to take a moment to thank them for their exceptional efforts during these sustained cold and extreme weather conditions. In closing, our business is very well positioned both operationally and financially to meet increased demand from a more normalized winter heating season while continuing to drive operational enhancements and executing on our long-term strategic growth plans. We remain committed to growing our core propane business while leveraging our core competencies as trusted local distributors of energy to grow the markets for alternative lower carbon renewable fuels well into the future. We continue to be patient and disciplined in executing our growth plans to ensure we maintain a strong balance sheet to support both sustainability and provide flexibility to be opportunistic. As always, we appreciate your support and attention this morning, and we will open it up for questions. Tina, would you mind helping us with that?
Operator: At this time, I would like to remind everyone to ask a question for just a moment to compile the Q&A roster. And with no questions in queue, I will hand the call back over to Davin for closing remarks.
Davin D'Ambrosio: Great. Thank you, Tina. Appreciate everybody's attention. We look forward to talking to you again in May following the end of our second quarter. As I always say to our employees here, please be safe out there.
Operator: Thank you again for joining us today. This does conclude today's conference call. You may now disconnect.